Operator: Ladies and gentlemen, thank your for standing by and welcome to the Hawaiian Electric Industries Q3 2015 earnings conference call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today, Interim Treasurer and Manager of Investor Relations and Strategic Planning, Mr. Cliff Chen. You may begin, sir.
Cliff Chen: Thank you, Andrew and thank you and welcome to Hawaiian Electric Industries third quarter 2015 earnings conference call. Joining me this morning are Connie Lau, HEI President and Chief Executive Officer, Jim Ajello, HEI Executive Vice President and Chief Financial Officer, Alan Oshima, Hawaiian Electric Company President and Chief Executive Officer and Rich Wacker, American Savings Bank President and Chief Executive Officer as well as other members of senior management. Connie will provide an overview, followed by Jim, who will update you on Hawaii's economy, our results for the quarter and outlook for the remainder of the year. Then we will conclude with questions-and-answers. In today's presentation, management will be using non-GAAP financial measures to describe the company's operating performance. Our press release and webcast presentation materials, which are posted on HEI's Investor Relations website, contain additional disclosures regarding these non-GAAP measures, including reconciliations of those measures to the equivalent GAAP measures. Forward-looking statements will also be made on today's call. Actual results could differ materially from what is described in those statements. Please refer to the forward-looking statements disclosure accompanying the webcast slides, which provides additional information on important factors that could cause results to differ. The company undertakes no obligation to publicly update or revise any forward-looking statements, including EPS guidance, whether as a result of new information, future events or otherwise. I will now turn the call over to our CEO, Connie Lau.
Connie Lau: Thank you, Cliff and aloha to everyone. Turning to our third quarter results announced earlier today, I am pleased to report that both our utility and bank met our performance expectations. At the utility, with the PUC's recent distributed energy resources order and Hawaii's new 100% renewable portfolio standard by 2045, our utility's continued work to modernize our electric grid and pursue new customer options is more important than ever. We also continue to work on reducing customer bills by pursuing lower-cost renewable projects and cost efficiencies. At the bank, we delivered solid revenue and loan growth this quarter while our credit quality remained sound. We achieved another milestone for our pending bank spin and utility merger on September 8 when the Hart-Scott-Rodino waiting period expired moving us a step closer towards the completion of the merger. As we move forward, we continue to believe that NextEra energy is the right partner for Hawaiian Electric to achieve Hawaii's 100% renewable portfolio standard by 2045. And our bank has been preparing for their cross conditional spin-off as an independent publicly traded company, which we believe will provide benefits for our Hawaii customers and communities. Turning to the PUC merger transaction timeline. During the past few weeks, we and NextEra Energy filed our surrebuttal testimonies and closed out a six-month discovery process. Just last week, the PUC completed their public listening sessions on all islands. Following orders on October 27 and October 30, the PUC held a prehearing conference yesterday to address procedural matters for the evidentiary hearings scheduled to begin on November 30. Collectively, these orders and the conference resolved and clarified administrative and procedural matters and should result in a more orderly and efficiently conducted hearings. In the PUC's orders, they expressed a desire to focus on the following four issues, customer benefits, financial protections, governance and renewable energy goals. Evidentiary hearings will begin on November 30 and continue through December 16 with closing briefs to follow. Thereafter, the PUC can render their decision. Other items remaining for the merger with NextEra energy and the spin-off of our bank, in addition to Hawaii PUC approval are shown on slide four, the most important of which is the savings and loan holding company key registrations related to the bank spin, which we expect to receive at the appropriate time. In other key energy developments, on October 12, 2015, the PUC issued an order declaring that the net energy metering programs is fully subscribed and closed to new participants. The net energy metering program remained unchanged, i.e., grandfathered for existing net energy metering customers and those with valid pending applications received by October 12. In its order, the PUC also approved two new transition rooftop PV program that will allow customers to take advantage of new energy storage technology and help ensure safe, reliable service and fair treatment for all customers. This is the first phase of the PUCs efforts to develop long-term technical and policy solutions that will support the continued growth of rooftop PV in Hawaii, something that is very popular here. The first new program is grid supply. This provides rooftop PV customers with credits on their electricity bills for excess electricity sent to the grid at a fixed rate with no carryover credits from month-to-month. For customers on Oahu, for example, the rate, which is fixed for two years is approximately $0.15 per kilowatt hour, instead of the current retail rate of about $0.25 per kilowatt hour. The second new program is self supply. This is designed for customers with rooftop PV systems and energy storage such as battery and no export to the grid. It provides for an expedited review and approval of application. In order to help cover the fixed cost of providing service to PV customers who remain connected to the grid for continued service, even when their PV systems are not producing energy, new residential PV system owners under the new program will pay a minimum monthly bill of $25. A cap on the total capacity of grid supply system was established at 25 megawatt for Hawaiian Electric and 5 megawatt each for Maui Electric and Hawaii Electric Light to ensure each island grid can accommodate increased PV, while also accommodating large grid scale systems, including community-based renewable projects and other lower cost utility scale projects. The PUC also agreed to allow the Hawaiian Electric Company to submit a revised time of use rate proposal to further expand options for customers by November 11. This will incentivize customers to increase their energy demand during times of high solar supply and alleviate some of the grid constraints to further renewable integration helping to use excess solar generation during the day. Phase two of this docket will begin in November 2015 and will focus on further developing competitive markets for distributed energy resources, including storage. Hawaii continues to lead the nation with rooftop solar. As of September 30, approximately 72,000 rooftop solar applications have been approved by our utility. On Oahu, the number of approved victim systems is close to 30% of single-family homes. Currently there are approximately 58,000 energized PV systems totaling 460 megawatt installed on the five islands we serve. In September 2015, the PUC approved Hawaiian Electric's application to extend up to $167 million for the construction of a 50 megawatt utility owned and operated generation facilities for the U.S. Army at Schofield Barracks. A great example of a public-private partnership, this firm dispatchable and quick ramping generation will operate with at least 50% biofuels, helping support the integration of even more renewables towards Hawaii's 100% RPS goal and the Army's own green initiative. Pending final Army approvals, the generating station is expected to be placed in service in the first quarter of 2018. The PUC's March 31, 2015 D&O on decoupling indicated that the utilities may apply for recovery of revenues for major projects, including baseline projects grouped together for consideration as major projects above the rate adjustment mechanism or RAM annual cap. In late October, Hawaiian Electric and Maui Electric applied to the PUC for approval of $45 million in cost recovery for projects above the 2015 RAM cap for expenditures necessary to sustain the physical integrity of the electric grid and assure reliable electrical service for customers. Hence, the utility is revising its 2015 CapEx estimate to $310 million from our previous CapEx guidance of $250 million and includes other major projects, many of which were already approved by the PUC. The 2015 rate base growth is expected to be between 2% to 3%, assuming no bonus depreciation bonus. If bonus depreciation legislation is extended for 2015, rate base growth is expected to be approximately 1%. And just yesterday, the Hawaii PUC issued a decision outlining the next step for our power supply improvement plan docket. We are now reviewing this decision. I will now ask Jim to cover Hawaii's economy and then our financial results and outlook for the company.
Jim Ajello: Thanks Connie. I will briefly comment on Hawaii's economy. September 2015 visitor arrivals reached a new record high in the month of September, up 4.7%, while visitor expenditures were down 1.2% from the same month last year. Year-to-date September 2015 visitor arrivals reached 6.5 million with total spending at $11.3 billion. Tourism is on a record trajectory for 2015. Statewide unemployment edged downward to 3.4% in September of 2015, compared to 4.2% a year ago and still significantly below the national unemployment rate of 5.1% as of September 2015. Recent Hawaii real estate activity remained strong during September 2015 with the median sales price for single-family Oahu homes at $730,000, up 7.6% from last year and up 4% year-to-date in September. This year through September, the pace of home sales on Oahu is up 6.2%. Year-to-date September 2015 construction activity reflected by the value of private building permits increased by 29% compared to year-to-date September 2014. This increase is reflected by the increase in residential, commercial and industrial projects. Overall, Hawaii's year-to-date economic performance is being sustained by continuing strong activity in the construction and tourism industry and the University of Hawaii forecasters expect state GDP to grow 2.8% this year. As shown on slide eight, third quarter 2015 GAAP earnings per share were $0.47. However, core earnings per share which excluded merger and spin expenses were at $0.49 per share compared to $0.47 per share in the third quarter of 2014. Consolidated core net income was $4.1 million higher than the prior year, driven by slightly better utility results. On slide nine, utility earnings were $43 million in the third quarter of 2015, compared to $38.9 million in the third quarter of 2014, $3 million in higher net revenues than the prior year quarter primarily due to $2 million in 2015 revenues attributed to the recovery of costs for clean energy and reliability investments and $1 million for better fuel efficiency performance. $2 million in lower O&M expenses compared to the prior year were largely due to the third quarter of 2014 O&M expenses were elevated by about $6 million after-tax primarily due to the following, consulting costs associated with our regulatory filings last year, storm restoration expenses and the initial phase of our smart grid modernization program. Third quarter of 2015 O&M costs were unfavorably impacted by about $4 million after-tax due to the following, the regulatory decision denying enterprise resource planning software costs, higher maintenance costs including environmental compliance costs, education management cost partially offset by the positive impact of the regulatory approval of the deferral of the interactive voice response system expenses that were previously expensed, $2 million in higher depreciation expense due to the increasing investments in the integration of more renewable energy, improved customer reliability and greater system efficiency. At the bank, net income for the third quarter of 2015 was $13.5 million, $600,000 higher than the linked quarter primarily due to following after-tax, $1 million in higher net interest income primarily driven by higher average interest-earning assets and a favorable shift to higher yielding assets and $1 million in higher noninterest income primarily due to the gain on sale of an American service center building vacated as part of the bank's facilities consolidation plan. These were partially offset by $1 million in higher provision for loan losses primarily due to strong loan growth in the quarter and then $1 million in higher noninterest expense. Compared to the third quarter of 2014, net income was $200,000 higher primarily driven by the following after-tax, $1 million in higher net interest income in the third quarter 2015 primarily due to higher average interest earning assets, $2 million in higher noninterest income primarily from the gain on sale of real estate and higher fee income on deposit products and mortgage banking in the third quarter of 2015. These were offset by $1 million in higher provisions for loan losses on higher loan growth and then $2 million in higher noninterest expense in the third quarter of 2015 due primarily to higher pension and benefits expense. As shown here on slide 10, HEI's core ROE for the last 12 months was 9.1% with ROE contributions of 7.9% from utility and 9.5% from the bank. Slide 11 shows the utility's actual ROEs for the last 12 months. The consolidated core utility ROE of 7.9% declined from 9% in September 2014, primarily due to higher O&M and depreciation expense, partially offset by the RAM increase. On slide 12, you can see that American continues to deliver solid profitability metrics generally in line with its targets. We have maintained a competitive return on assets of 92 basis points year-to-date September 30. Year-to-date annualized loan growth of 3% is just below our mid-single-digit loan growth target, but our third quarter strong 7% annualized loan growth was driven primarily by higher commercial real estate, commercial construction and residential loans and home equity lines of credit, offset by payoffs in the commercial markets portfolio. Year-to-date net interest margin of 3.52% remains in line with expectations. Year-to-date credit cost remained low with a year-to-date net charge-off ratio of eight basis points as a result of our solid asset quality and strong risk management. Overall, the bank continues to maintain its low-risk profile, strong balance sheet, straightforward community banking business model. On slide 13, our net interest margin was 3.53% in line with the third quarter of 2015, one basis point higher than the linked quarter. Our interest earning asset yield improved by two basis points and our liability cost of 22 basis points remains low and unchanged from the linked quarter. On slide 14, third quarter 2015 noninterest income was positively impacted by the $2 million gain on sale of the American service center building vacated as part of the facilities consolidation plan in other income. Fee income on deposit liabilities continued to improve due to deposit related initiatives offset by lower mortgage banking income in the current quarter. Credit quality continues to be strong, reflecting prudent credit risk management and the healthy local economy. Third quarter 2015 net charge-off ratio was 10 basis points, one basis point lower than the linked quarter. Provision for loan losses was higher than the linked quarter mainly due to loan growth in the commercial real estate portfolio. The allowance for loan losses was 1.06% of outstanding loans at $48.3 million at quarter-end compared to 1.04% at the end of the linked quarter and 1% as of the third quarter last year. On Slide 16, American's nonperforming assets ratio of 1% at the end of the third quarter 2015 was 30 basis points higher than the end of the second quarter of 2015 and 0.88% at the end of the third quarter last year. The increase in the third quarter of 2015 was primarily due to two commercial borrowers who are still payment current. Slide 17 illustrates American's continued attractive asset and funding mix relative to our peer banks. American September 30, 2015 balance sheet is stacked against the last complete available dataset of our peers which is as of June 2015. 98% of our loan portfolio was funded with low-cost core deposits versus the aggregate of our peer banks at 88%. Year-to-date total deposits increased by $203 million or 5.8% annualized, while maintaining a very low cost of funds at 22 basis points, 15 basis points lower than the median for our peers. American remains well-capitalized at September 30 with a leverage ratio of 8.8%, tangible common equity to tangible assets ratio of 8.2% and total capital ratio of 13.4%. In the third quarter, American paid $7.5 million in dividends to HEI while maintaining healthy capital levels. Now I will address HEI's outlook for the balance of 2015. We are revising HEI's prior earnings guidance range per share, excluding any expenses relating to the pending merger and spin-off transactions. At the utility, last quarter we guided towards the lower end of the range of $1.30 to $1.35 to offset the impact of the PUC's May 28 decoupling order while we work towards carefully managing expenses. At the same time, we revised our O&M guidance to approximately 2% decline compared to 2014 levels instead of a 2% increase. However the expected recent $5 million write-off previously incurred enterprise resource software planning and other costs, we are revising our utility guidance range down to $1.25 to $1.30, as the headwinds of the lower RAM revenues and lower AFUDC along with the software write-off are not expected to be entirely offset by lower expenses and better fuel efficiency. And as we previously mentioned, we are revising our 2015 CapEx estimate to $310 million from $250 million and revising our 2015 rate base growth to 2% to 3%, assuming no bonus depreciation. We will provide an updated view of our 2016 and 2017 CapEx forecast in our fourth quarter 2015 earnings call. At the bank, we are narrowing our EPS guidance range to $0.50 to $0.52 from $0.50 to $0.54. For the holding company and other segment loss, we are revising the guidance range to a loss of $0.15 to $0.16 from $0.16 to $0.17 due primarily to lower interest and G&A expense. As a result of these changes, we are revising HEI's consolidated EPS guidance range to a narrower range of $1.60 to $1.66 from our guidance last quarter of full-year expectations at the lower end of the original range of $1.64 to $1.74. Finally, as we disclosed this morning in the course of preparing our third quarter 2015 financial statements, HEI and Hawaiian Electric Company management discovered that certain historical amounts on our consolidated statements of cash flow related to cash funded capital expenditures and changes in accounts payable had been misstated. In order to correct the reported amounts of the affected historical periods, HEI's and Hawaiian Electric Company' consolidated statements of cash flow will be restated or revised as appropriate for the following periods, the three months ended March 31, 2015 and 2014, the six months ended June 30, 2015 and 2014 and nine months ended September 30, 2014 and the years ended December 31, 2014, 2013 and 2012. As a result of these misstatements, HEI's and Hawaiian Electric Company's consolidated net cash provided by operating activities were understated for the years 2012 to 2014, approximately by $45 million, $40 million and $25 million, respectively and by approximately $65 million for both the first three and six months of 2015, respectively. Similarly, HEI's and Hawaiian Electric Company's consolidated net cash used in investing activities due to capital expenditures were also understated by the corresponding amounts in the respective time periods. Our restatements and revisions will report higher cash inflows from operations, as well as greater outflows of cash invested in capital expenditures, which net out for the periods affected for the statements cash flows both HEI and Hawaiian Electric Company. These misstatements only impact the statement of cash flows and the changes will not impact our consolidated cash balances or other items as presented on our historical balance sheets nor will there be any impact on the historical income statements as reported. Furthermore, the restatements and revisions did not and will not have any impact on HEI's and Hawaiian Electric Company's obligations nor upon utility customer rates. Connie, now I will turn the call back to you.
Connie Lau: Thanks Jim. In summary, our utility leads the industry in integrating renewables and distributed generation and with the introduction of new proposals like community-based renewable energy and time of use rate is focused on expanding customer options and lowering customer bills. Our bank will continue to focus on its core banking business targeting mid-single-digit loan growth and strong credit quality, while also preparing for life as an independent public company. Yesterday, Wednesday, our Board maintained our quarterly dividend of $0.31 per share, continuing our uninterrupted dividend payments since 1901. The dividend yield continues to be attractive at 4.2% as of Wednesday's market close. Finally, we firmly believe that as the Hawaii PUC merger review process continues, the commission and others should conclude that this merger will provide significant benefits for our customers and will accelerate achievement of the clean energy future we all want for Hawaii. And with that, we look forward to hearing your questions.
Operator: [Operator Instructions]. And our first question or comment comes from the line of Paul Patterson with Glenrock Associates. Your line is now open.
Paul Patterson: Good afternoon.
Connie Lau: Hi Paul.
Paul Patterson: I wanted to touch base first on the merger. You guys have dealt with discovery and you are further along and we have got hearings coming up. How should we think about the potential for a settlement versus litigation? Any thoughts that you might be able to give us a feeling for?
Connie Lau: Well, I think, Paul, at this point, the commission has come out with the remaining schedule and we are all focused on the evidentiary hearings that are going to be starting on November 30. And so that's really kind of the next step in the docket review process.
Paul Patterson: Okay. But I mean you, I guess -- Okay. So I guess you are just focused on that which would indicate that at least we shouldn't expect anything in the near term in terms of potential settlement. Does that make sense?
Connie Lau: I don't know that we can really give you guidance on that. That maybe a question to ask our merger partner, but we certainly are focused on the evidentiary hearings that are coming up.
Paul Patterson: Okay. And then in terms of the disallowance associated with the enterprise software, environmental and education management, could you go over what the thought process was there in terms of why that was done by the commission?
Connie Lau: Sure. And I will ask Tayne to address that, but just a correction. It really is the enterprise resource planning or the ERP software that we had purchased in anticipation of being able to install that. So I will let Tayne talk about that.
Tayne Sekimura: Paul, so on those costs, we did get a decision from the commission, which did not allow recovery for that roughly $5 million of software cost and for some background, we incurred those cost back in 2012, just about the time we had completed installation of our customer information system, where we used a similar vendor and so we thought it was prudent to make the investment in those costs and around that time we were preparing to file an application for the current ERP, replacing our current enterprise resource planning.
Paul Patterson: Okay. But what was wrong with the -- why they feel this wasn't a legitimate expense, I guess? What am I missing?
Connie Lau: I think Paul, this was an expense that we had several years ago and this systems that Tayne is referring to on the vendor is actually the same system that is used by NextEra.
Paul Patterson: Okay. I am sorry to be so slow, why is this being expensed now? What am I missing?
Tayne Sekimura: Paul, this is Tayne. We had incurred these costs prior to commission approval and prior to us filing the PUC application. We thought it was a good business decision to make at that time and what we did was, we deferred those costs. Since we got the decision, we now need to expense it.
Paul Patterson: I guess, what was the reason, why they feel that wasn't an appropriate expense?
Tayne Sekimura: Well, we had incurred the cost prior to their approving, as the ERP.
Paul Patterson: I understand but I guess what I am wondering is, I mean did they feel that this wasn't a prudent expense? We can take it offline if it's -- I know I don't want to up the whole, but I am just sort of wondering what the reasoning was with that?
Connie Lau: Yes. I think we had deferred it for several years now. And they have yet to approve the project itself. So part of it is the timing related to it and I am sure, Tayne, maybe you want to give her call and give a call out, give you more detail.
Paul Patterson: Okay. That's fine.
Connie Lau: But it's a very old expense that we have carrying on our books for a while. And they have yet to approve the project itself.
Paul Patterson: I see. So due to passage of time, it sounds like you guys decided not to hold on your books anymore. Is that kind of the driver? As opposed to a specific regulatory decision?
Connie Lau: It's a specific regulatory decision.
Paul Patterson: Okay. Then on the net metering changes, what do you think this will do in terms of rooftop solar and the deployment of it, these significant changes that were made by the PUC?
Connie Lau: Well, I think in Hawaii, as you know the very high retail prices that were oil-based plus the federal incentives plus state incentive have been very, very favorable towards rooftop solar and the payback through this is an extremely short. And so we believe that this decision sets some new rules that will still encourage rooftop solar in Hawaii because as I mentioned, it's very, very popular here. So there is every intention to have rooftop solar continue, but it is going to require some of the installers to sharpen their pencils and perhaps go through some of the reduced costs of the panels and the technology to the consumers here. But we believe that rooftop solar is going to continue within Hawaii and will continue to be very good source of renewable energy that will help Hawaii get towards its 100% renewable goal.
Paul Patterson: Okay. And then we will see what happens, I guess. In terms of the higher-yielding assets at the bank, can you remind us what kind of assets are driving the higher returns on average? I means what you have been getting into and what's driving that?
Connie Lau: So Rich is smiling. He can't wait to answer your question.
Rich Wacker: Thanks, Paul, for showing interest in the bank. No, it's just a joke. So there is two many things that contributed this quarter. You know, we have been building our deposit balances more aggressively this year, growing them at a good clip faster than loans. At the end of the second quarter, we had a lot of that based on the timing was in cash and we have invested that. So cash balances are down and investments are up and that's given us a positive bump. The second is down in the consumer. We have grown the unsecured lending program that we have been doing as part of our product expansion and so those yields are a bit higher than the average of the consumer book. So those were the two main contributors.
Paul Patterson: Okay. But you guys are not really changing your risk profile appetite? Should we think about it in terms of your lending activities of these?
Rich Wacker: No. It's all very straight down the middle. It's often very much in line with what our peers in the market offer.
Paul Patterson: Okay. Great. Thanks so much.
Operator: Our next question or comment comes from the line of Andrew Weisel with Macquarie Capital. Your line is now open.
Andrew Weisel: Hi. Thanks for taking my question. I don't know if it's a follow up to Paul's question or not, but you talked a lot about how this software expenditure was on the books for a couple years and then ultimately based on a regulatory decision, you now decided to expense it. My question is, are there other expenditure you have been carrying that could potentially face a similar expensing in the future?
Connie Lau: No. There are none.
Andrew Weisel: Okay. So this was a one off, one of a kind thing.
Connie Lau: Yes.
Andrew Weisel: Okay. Great. Next question I believe you said here, you are going to hold off on updating the future CapEx plans until the fourth quarter update. But with the increase to CapEx for 2015, should I think about as incremental spending? Or is that stuff that you already had in the plan for future years being pulled forward?
Connie Lau: No. It's actually projects that we had underway for 2015 prior to the decoupling decision that put a cap on the annual rate base RAM. And so we had initially when the decision came out, reduced our capital expenditures down to the capped amount, but as you may remember in the decoupling decision, the commission gave us the ability to file for additional capital under the renewable energy infrastructure program or the REIP surcharge or other mechanisms for above the cap expenditures. And so we then went to review all of the capital expenditures above the cap to determine which ones we could file for through these other mechanisms and in addition to that we had to work with the consumer advocate to set up some of these additional recovery mechanisms and so that took a bit of time. So 2015 really is a transitional year for us in working through the new capped RAM and the new process through various recovery mechanisms to recover all of our CapEx.
Andrew Weisel: Okay. Would it be fair for us to assume then that your spending for future years might also be a little bit higher based on filings through that mechanism?
Connie Lau: Well, we actually haven't really forecast the capital expenditures yet for those four years and that will be part of what we have come out with the fourth quarter call.
Andrew Weisel: Okay. And then my last question is, given all the recent regulatory decisions, what's your outlook for the ROE lag? We have talked about it in the past. I am just wondering what your latest expectations are for earned ROE versus allowed?
Jim Ajello: Andrew, it's Jim. I would say that the same perspective exists that we have had before. So we don't really have any change in the approach to the mechanisms and all the other structural issues that we have discussed in the past remain level as to our expectations.
Andrew Weisel: Great. Thank you very much.
Operator: And our next question at the time comes from the line of Charles Fishman with Morningstar. Your line is now open.
Charles Fishman: Hi. Thank you. On the PUC final decision on the merger occurring after the closing briefs, what you show on the slide to be determined on the timing, there is no statutory requirement for the decision then, I take it?
Connie Lau: There is none.
Charles Fishman: Okay. And Connie, I guess you listed four issues that the commission would focus on. Do you care to speculate on which is the issue that will be number one, do you think they will spend the most time on?
Connie Lau: I actually think so. But all of those issues are important to them. So there will be a discussion on all of them.
Charles Fishman: Okay. And then my final one was on the restatement. Just I mean, you look at it and certainly it's immaterial from an investment standpoint, but as we all know the legal community tends to get active on these kind of things. Does the merger document have any kind of address prior events and how that's going to be handled? I mean, could the existing Hawaiian shareholders have any kind of obligation coming out of that special dividend or anything like that?
Jim Ajello: Charles, this is Jim. We see no impact or effect to any of our obligations, neither the merger agreement or any of our duties in terms of loan agreements or liabilities, really whatsoever or the shareholders, for that matter and should have no impact on the special dividend or any current dividend or any of our obligations as we said to our utility customers as well. So we are keeping that simple. These are differences between investing and financing activities on the cash flow statement that weren't tied correctly and presented correctly at the end of the reporting periods and they net out over time and I will stress again, no income statement and no balance sheet impacts and it's really a financial nonevent from the standpoint of our obligation.
Charles Fishman: Yes. I think it would agree it's a nonevent from an investment standpoint. Okay. I just thought it would be good to hear you say that. Thank you. That was it. Good luck on the hearings.
Connie Lau: Thank you.
Operator: And at this time, I am showing no further questions or comments. So with that, I would like to turn the call back over to management for closing remarks.
Jim Ajello: Thank you, Andrew. Thank you for joining us today. We hope you have a good weekend.